Operator: Good morning and welcome to Dominion’s First Quarter Earnings Conference Call. On the call today, we have Tom Farrell, CEO; Mark McGettrick, CFO; and other members of senior management. At this time each of your lines is in a listen-only mode. At the conclusion of today’s presentation, we will open the floor for questions. At that time, instructions will be given as for the procedure to follow, if you would like to ask a question. I would now like to turn the call over to Tom Harlin, Vice President of Investor Relations and Financial Analysis for the Safe Harbor statement.
Thomas E. Harlin: Good morning and welcome to Dominion’s first quarter 2013 earnings conference call. During this call, we will refer to certain schedules included in this morning’s earnings release and pages from our earnings release kit. Schedules in the earnings release kit are intended to answer the more detailed questions pertaining to operating statistics and accounting. Investor Relations will be available after the call for any clarification on these schedules. If you have not done so, I encourage you to visit our website, register for e-mail alerts and view our first quarter 2013 earnings documents. Our website address is www.dom.com/investors. In addition to the earnings release kit, we have included a slide presentation on our website that will guide this morning's discussion. Now, for the usual cautionary language; the earnings release and other matters that will be discussed on the call today may contain forward-looking statements and estimates that are subject to various risks and uncertainties. Please refer to our SEC filings, including our most recent Annual Report on Form 10-K and our Quarterly Report on Form 10-Q for a discussion of factors that may cause results to differ from management's projections, forecasts, estimates, and expectations. Also on this call, we will discuss some measures of our Company's performance that differ from those recognized by GAAP. Those measures include our first quarter 2013 operating earnings and our operating earnings guidance for the second quarter and full year 2013, as well as our operating earnings before interest and tax commonly referred to as EBIT. Reconciliation of such measures to the most directly comparable GAAP financial measures, we are able to calculate and report are contained on Schedules 2 and 3 and Pages 8 and 9 in our earnings release kit. Joining us on the call this morning are our CEO, Tom Farrell; our CFO, Mark McGettrick, and other members of our management team. Mark will discuss our earnings results for the first quarter of 2013 and our guidance for the second quarter. Tom will review our operating and regulatory activities for the quarter and review the progress we’ve made on our growth plan. I will now turn the call over to Mark McGettrick.
Mark F. McGettrick: Good morning. Dominion's operating earnings of $0.83 per share for the first quarter were within but below the midpoint of our guidance range of $0.80 to $0.95 per share. Earnings for the quarter were impacted by higher than normal storm and service restoration activity in Virginia, the delay of our Natrium processing plant coming on line, lower margins at Millstone due to transmission congestion at February and lower electric sales in plan. GAAP earnings were $0.86 per share for the quarter, the principle difference between first quarter GAAP and operating earnings with a net gain from our investment in our nuclear decommissioning trust. A reconciliation of operating earnings to reported earnings can be found on Schedule 2 of the earnings release kit. Before moving to operating segment results, let me spend a minute on sales and actions we are taking to protect against, any sales growth that may fall below our estimate of 2%. In the first quarter weather normalized sales grew by about 1%, thus far we have seen strong growth in commercial activity this year, our residential sales have lagged. It is far too early in the year to draw any definitive conclusion on changes to our estimates, but you should know that we expect to reduce our 2013 operating expenses by about $100 million from originally plan levels to offset the higher storm and margin events in the first quarter and protect against any potential short-fall in our sales expectations. As we have previously stated a 1% change in sales equates to about $0.04 to $0.05 per share in earnings. We believe this early action reinforces our plans to grow operating earnings by our annual target of 5% to 6%. Finally, as we explained at our March 4 Analyst Meeting, you should expect most of our growth to occur in the third and the fourth quarters as outlined on slide 4. Now moving to results by operating segment. At Dominion Virginia Power, EBIT for the first quarter was $278 million, which was below its guidance range, kilowatt hour sales were below expectations and major storm and service restoration costs, due to several major storm events, were higher than expected. EBIT for Dominion Energy was $301 million, which was above the top of its guidance range. During the quarter, the TL-404 pipeline was contributed to the Blue Racer Midstream joint venture, adding $25 million to first quarter EBIT. This was originally scheduled to be drop in the second quarter and was therefore not included in our first quarter earnings guidance. The short fall and earnings from the delay in Natrium operations was offset by lower fuel costs and lower operating expenses. Dominion Generation produced EBIT of $415 million in the first quarter, which was below the bottom of its guidance range. Lower than expected kilowatt hour sales and lower ancillary service revenues at Virginia Power were the principal factors driving the results for the regulated generation business. EBIT from merchant generation was below the midpoint of its guidance range. February snow storm would nearly 2 feet of snow in the Boston area that you can Justin in the New England transmission system which prevented us from realizing expected margins at Millstone for several days. On a consolidated basis both interest expenses and income taxes were inline with our estimates. Moving to cash flow and the treasury activities, funds from operations were $1.1 billion for the first quarter. Regarding liquidity, we have $3.5 billion of credit facilities, commercial paper and letters of credit outstanding at the end of the quarter were $2 billion, resulting in available liquidity of $1.5 billion. For statements of cash flow and liquidity, please see pages 14 and 27 of the earnings release kit. Now moving to our financing plans, we issued $750 million of Virginia Power debt in January and another $500 million in March. We were pleased with the market response to our offering, and thank those of you who participated. We updated our 2013 financing plans at our March 4th Analyst Meeting to reflect the inclusion of the Cove Point Liquefaction Project in our growth plan. In addition to the 300 million of common equity, we expect to rise to our dividend reinvestment and other stock plans, we expect to issue between $500 million of $1 billion of mandatory convertible securities, sometime this year. Now to earnings guidance. We estimate operating earnings for the second quarter of 2013 within a range of $0.60 to $0.70 per share. This compares with original operating earnings of $0.59 per share for the second quarter of 2012. Compared to the second quarter of last year, positive drivers for the quarter include a return to normal weather, earnings from our newly completed growth projects at Dominion Energy, sales growth at Virginia Power, and higher rider related revenues. In addition you should expect a reduction to our originally plan operating expenses due to the program, I discussed earlier. Negative drivers for the quarter include a refueling outage at Millstone Unit III and lower contributions from Dominion Retail. Our operating earnings guidance for 2013 remains $3.20 to $3.50 per share. The middle of this range corresponds to a 5% to 6% increase over the middle of our guidance range for 2012. As to hedging, you can find our hedge positions on page 29 of the earnings release kit. Since our last update on March 4th, we have made no changes to our Millstone hedges. Our sensitivity to a $5 move in New England power prices is only about $0.01 per share in 2013, and $0.03 per share for 2014. So let me summarize my financial review. Operating earnings were $0.83 per share for the first quarter, below the midpoint of our guidance range. Kilowatt hour sales at Virginia Power were less than expected and we have taken steps to reduce operating expenses to offset any potential impact of lower sales, as well as the impact of storms and the delay at Natrium in the fourth quarter. Our operating earnings guidance for the second quarter of 2013 is $0.60 to $0.70 per share. A return to normal weather, earnings from our growth projects, sales growth at Virginia Power, and reduced operating expenses should drive these results. And finally, our operating earnings guidance for 2013 remains $3.20 to $3.50 per share. The middle of this range assumes normal weather and corresponds to a 5% to 6% increase over the middle of our guidance range for 2012. I’ll now turn the call over to Tom Farrell.
Thomas F. Farrell: Good morning. At our March 4th Analyst Meeting in New York, I highlighted our improved safety performance by showing that our OSHA incident rate had been reduced by over two-thirds over the last seven years. That trend continued in the first quarter of this year as well with each of our business units achieving year-over-year improvements in the safety. We achieved record-setting operating performance from our generating fleet in the first quarter as well. The first quarter net capacity factor of the seven Dominion nuclear units was 100%. In fact, up until the April 14 shutdown of North Anna Units 2 for its schedule refueling outage, all seven nuclear units operated continuously for 125 days. Millstone Unit 3 achieved a record of breakout continuous run of over 500 days. Our merchant fleet established quarterly availability records for the combined cycle fleet as a whole in for the [indiscernible] power station. In particular, we continue to move forward on our growth plan. Construction of the 1,329 megawatt Warren County combined cycle plant is progressing on schedule and on budget for the late 2014 commercial operation days. All three combustion turbines and generators have been installed on their foundations. The air-cooled condenser and the three heat recovery steam generators are being interacted over 900 people are presently employed at the site. Development of the proposed Brunswick County Power Station continues, last November we filed the CPCN and rider applications with the State Corporation Commission. The public hearing began yesterday and we expect a ruling from the commission later this summer. On March 15, the Virginia Department of Environmental Quality issued the units air permit, the 1,358 megawatt three-on-one combined cycle facility is expected to be in service in 2016. The conversion of the Altavista, Southampton and Hopewell plants from coal to biomass are progressing on schedule and on budget. Engineering and procurement of all major equipment have been completed and delivered to the sites. The first biomass fuel deliveries arrived in Altavista in March which will allow testing to proceed this quarter. All three projects are expected to be operational later this year. We have a number of electric transmission projects at various stages of regulatory approval and construction. Our growth plan includes new investments of over $500 million per year in growth and with that reliability projects including the systematic rebuild of the 500 KB loop that is the backbone of our states transmission network. Progress in our growth plan for Dominion Energy continues. The nature in processing and fractionation plant was originally scheduled to be in service at the end of last year. We have experienced nearly four month delay in completing this 20 month project for a number of reasons, but we are pleased to stay we have begun commissioning activities and we’ll be fully operational in May. We have accessed the reasons for the delay and have taken steps that we believe will improve our future mid-stream construction performance. Utica region continues to be very active through April 13 a total of 605 horizontal Utica permits have been issued and 297 wells have been drilled, an increase of 93 wells permitted and 74 wells drilled since just the middle of February. The management team at Blue Racer is actively marketing gathering and processing services to the producers in the Utica region, a 200 million cubic feet per day processing plant has been ordered and will be delivered to the Natrium site this summer. This facility will provide the service we have originally planned to fund ourselves that we had called Natrium II. Blue Racer has also ordered a second 200 million cubic feet per day processing plant and will be delivered to the Berne Ohio site this fall. In February, Dominion East Ohio has signed a gathering agreement with BP to include an investment of $24 million related to the installation of gathering pipe in compression for BP share wells, we drilled in Trumbull County. We’re evaluating this and other assets for potential contributions to the Blue Racer joint venture. This morning, Dominion Transmission announced a non-binding Open Season to solicit interest in incremental firm transportation capacity to serve our traditional markets in New York State. The project contemplates access to the growing supplies in the Northern portion of DTI system and delivering it to the year for a gas transmission system and to the Niagara Mohawk distribution system serving Albany. The new gas supply and market dynamics have created an opportunity to provide expanded natural gas service, the existing and growing loads in the North East market area. Dominion Transmission, Dominion East Ohio and Blue Racer are all providing the midstream growth, we anticipated. We are pleased that our board made its final investment decision to go forward with the Cove Point Liquefaction Project on April 1. We announced that the capacity of the project is fully subscribed with 20 year terminal service agreements with Sumitomo and Gail, each contracting for half of the capacity. Sumitomo in turn has commitments for its first capacity to serve Tokyo Gas and Kansai Electric. We also announced that the signing of an EPC contract for the liquefaction facilities with IHI/Kiewit Cove point and have already placed orders for some of the major equipment. We have filed an air permit and CPCN applications in Maryland. Also on April 1, we filed the 12,000 page FERC certificate application. We expect to receive our export license from the Department of Energy, some time this year. Subject to FERC approval, we expect to commence construction next year with commercial operation expected in late 2017. Before we open the call for questions, I want to give an update on our regulatory activities. Our March 28, Virginia Power filed its 2013 biannual rate review application, demonstrating that the company earned a return on equity of 10.11% for the 2011 and 2012 test periods. This falls below the authorized earnings band of 10.4% to 11.4%. If the State Corporation Commission concludes that the company’s earnings did not exceed the top of the earnings band then rates cannot be lowered until December of 2017 at (inaudible). A decision from the commission is due by the end of November. Finally, on March 22, the State Corporation Commission approved a solar purchase program that offers customers who want solar generation installations, a special rate option. The program has a cap of up to 3 megawatts of customer owned installations. These customers for solar generation will now have the option to purchase all of their electricity from Virginia Power on our current rate schedule, and so their solar generation including renewal energy grows back to the company. We continue to offer innovative solutions, designed to satisfy our customers’ needs.
 : Thank you and we are ready for your questions.
Operator: Thank you. At this time, we will open the floor for questions. (Operator Instructions) Our first question will come from Dan Eggers with Credit Suisse.
Dan Eggers – Credit Suisse: Listen on the load growth outlook it seems like there is a little more caution maybe you’re telling and what you guys said today maybe even from the Analyst Day. Can you maybe just shed a little more light on what you’re seeing and are we seeing the impact of the sequestration or other things in the area that that’s having more variant on the outlook this year?
Mark F. McGettrick: Dan, it’s heard to hear you, but this is Mark. I think I got your questions, if I can address it on a little more depth. January and February for us was pretty close to expectations in terms of low growth. But March dropped off significantly for us and so the sales for the quarter were only up above 1%. We were very pleased with commercial sales. They were up about 3%, industrial sales which is a small item for us, but they were up by 1%, but our residential sales were fairly flat. We don’t have an answer for this for you today because something we’re monitoring closely and we will talk more about as we go through the year, but the reason, one of the principle reasons to announce the expense reduction program today is to safeguard ourselves from any potential sales shortfall if that would occur. If that doesn’t occur then some of those expenses will be put back into operating budgets later in the year, but we want to make sure we got out in front of this and we safeguard ourselves to we have a better picture on what sales might look at like this year.
Dan Eggers – Credit Suisse: All right, thanks Mark. And I guess just on that we’re kind of leading to the next question which is on the cost cutting. Can you explain what are all those going into that? Are these kind of your period specific cost that will you caught up in the future periods or these some structural changes that are bringing more cost out of the system as you reevaluate the business?
Mark F. McGettrick: It’s going to be a combination of both, some will be structural changes, some will be timing changes that we will redeploy for future periods. We’re finalizing those plans now and should have that in place by the end of April. I will tell you one of the first steps we took in the first quarter was to significantly restrict new staffing for the company which typically is in the range of 300 to 400 new employees every year as a way to give us a running start on this has been managed very closely. And so based on that we think we’re in good shape as we implement other changes throughout the company and again as I mentioned previously some of them will be time based, some of them will be permanent.
Dan Eggers – Credit Suisse: And so we should assume that the O&M cost for 2013 are now going to be down, almost noticeably versus 2012 with this program as well?
Mark F. McGettrick: Actually, I think with the $100 million item, you should see expenses 2012 to 2013 to be very flat.
Dan Eggers – Credit Suisse: Okay. And then I guess just one last question on the biennial review. You have kind of given what your earned ROEs are and the way the legislation came in through in Virginia this spring. Did you guys see the opportunity potentially to settle with parties and kind of get everybody pass this and focus back on business full time or is this going to be a fully litigated process?
Mark F. McGettrick: Dan, we’re always happy to talk to the parties about settlement. I think you have to let the process runs, scores at least for some period of time before people rounded to talk about that. I do think the issues are pretty limited. In this case, I’m sure people will want to talk about that going forward. Earnings band, for example that won’t affect base rates but we’ll have its impact in some regard in what the earnings test is for 2013 and 2014 and a little increment of that peers in the riders. So I think that will obviously be an area for discussion, but the accounting issues are not very complex.
Dan Eggers – Credit Suisse: Got it. Thank you, guys.
Operator: Thank you. Our next question will come from Steven Fleishman with Wolfe Trahan.
Steve Fleishman – Wolfe Trahan: Yeah, hi, good morning. Just first question on biennial, where did the peer group ROEs come out in your filling, the three year rolling…
Thomas F. Farrell: Steve, I don’t have that sitting here in front of me, I apologize. We’ll get it, we’ll make sure, it’s posted on the website, it’s in the testimony.
Steve Fleishman – Wolfe Trahan: Okay.
Mark F. McGettrick: It’s all out there in public domain. I’m sorry.
Steve Fleishman – Wolfe Trahan: Okay
Mark F. McGettrick: The average of the, if you use all 11 the average is 10.74%.
Steve Fleishman – Wolfe Trahan: Great. And then on the retail business, I know you had a tough comp last year, you did very well, but could you just go into any dynamics you are seeing in the retail business so far this year?
Mark F. McGettrick: Steve, let me just mention the comparable to last year first and then I’ll turn it over to Paul to go into more depth on it. If you look at the reconciliation on the Schedule 4 which is in page 10, I think on the kit it shows the $0.07 quarter-over-quarter change from $0.13 to $0.12 and that was driven by two items, I talked about this at the Analyst Meeting on March 4 to expect this, we took a $0.05 of one-time mark-to-market gain in the first quarter of last year based on some commercial and industrial contracts that were deemed to be derivatives. So that was $0.05 of the difference the remaining $0.02 is just a normal roll off of those contracts that occur beginning in the first, second quarter last year and we’ll continue through the rest of this year. So, those are the two high level drivers, but in terms of the dynamics in retail let me ask Paul to comment on that.
Paul D. Koonce: Yeah. Steve, good morning. The dynamics if you, when you look at the ABS, it’s going to be published here in just a few minutes you’ll see that retail actually had a strong quarter. They get albeit at the low end of the guidance range, but when you look at customer counts in the kit, you can see the customer counts were up, you can see the volumes were up, but it is a competitive business. So, when you compare to guidance it’s kind of what we expected, but it’s less than last year.
Steve Fleishman – Wolfe Trahan: Okay. One other question just on the issue with Millstone on the basis, I guess the congestion in February, is this something we should very about just with all the different gas dynamics in doing when that could have any ongoing issues, or is it just very driven by that storm and alike transmission issues from that?
Thomas F. Farrell II: Steve, let me have Dave Christian to answer that for you.
David A. Christian: Yeah. It looks like that was predominantly concentrated in one week in February and wouldn’t expect to see a lot of that throughout the rest of the year.
Steve Fleishman – Wolfe Trahan: Okay. Great, thanks very much.
Thomas F. Farrell: Thank you, Steve.
Operator: Thank you. Our next question will come from Jonathan Arnold with Deutsche Bank.
Jonathan Arnold – Deutsche Bank: Good morning, guys.
Thomas F. Farrell: Good morning.
Mark F. McGettrick: Good morning, John.
Jonathan Arnold – Deutsche Bank: I was going to ask about retail so I will ask my other one instead. On the Natrium, you talked about the delay and then you’re going to change some of your operating practices or what about to help reduce risk going forward. Can you just give us a bit more insight into what exactly caused this delay and what you’re going to do differently to fix? 
Thomas F. Farrell:
 :
 :
 :
Jonathan Arnold – Deutsche Bank: Okay, so I’m just still speaking in a very generic terms I mean was it one major issue or just a hardest of issues?
Thomas F. Farrell: I wish, I can tell you it’s one issue that we can solve that we will point one finger out, but it was a variety of issues across our management of it and the contractor’s management of it, but it is I consider to be a one-off experience, we’ve made the changes we need to make….
Jonathan Arnold – Deutsche Bank: Okay.
Thomas F. Farrell: And we’ll be in better shape going forward.
Jonathan Arnold – Deutsche Bank: And on similar topic, could you just comment on the sort of contracting status of Natrium 2 to and the banned facility.
Thomas F. Farrell: Yeah, of course, Natrium that will be handle by Blue Racer…
Jonathan Arnold – Deutsche Bank: Okay
Thomas F. Farrell: Those are their projects they are, remember the way it works, they have to contribute all the capital to the joint venture until our capital accounts are equal which has a ways to go, so they will be putting up all the cash for example to purchase those processing plants. There is a tremendous amount of interests in those two locations which is why they picked them to move these processing facilities to, they are well in the negotiations with the variety of producers and we will have to leave announcements about that up to the Blue Racer management team as they come along…
Jonathan Arnold – Deutsche Bank: Thank you very much
Mark F. McGettrick: Thank you
Operator: Thank you. Our next question comes from Paul Fremont with Jefferies
Paul Fremont – Jefferies & Company: Thanks. If I take the retail declined in the first quarter and assume sort of a $12 million decrement each quarter between now and end of the year that would seem to put you on the low end of your retail guidance for the year as is that a fair assumption?
Paul D. Koonce: Paul, this is Paul Koonce, we did have a very strong first and second quarter last year, we’ve guided the full year and we have not seen any reason to change that.
Paul Fremont – Jefferies & Company: Okay. And I guess my other question would be on the new processing facilities, can you give us a sense of what the capital spend is associated with each of those processing facilities?
Mark F. McGettrick: We’ll have to get back on that Paul its Blue Racer’s capital spend it’s not ours.
Paul Fremont – Jefferies & Company: Understood, but I’m just trying to take you out, what…
Mark F. McGettrick: Actually Caiman’s capital spend, not even the joint ventures capital spend.
Paul D. Koonce: Paul, I would say that if you are making the comparison Natrium 1 the facility that we are going to put into the joint venture, these processing facilities are significantly different than that and at a significantly reduced cost from that.
Paul Fremont – Jefferies & Company: Great, but they have no fractionation, right?
Mark F. McGettrick: Right, no fractionation. And so, again, without Dominion management allowed us to release that we’re not in a position to tell you the exact cost of plans, but I certainly can guide you that it will be dramatically lower than what Natrium 1 cost.
Paul Fremont – Jefferies & Company: And is there a schedule in the biennial proceeding that’s available?
Mark F. McGettrick: Actually, I think they just issued the schedule. Hearings are supposed to be in the first or second week of September.
Paul Fremont – Jefferies & Company: Okay.
Mark F. McGettrick: And the staffs require mandates that they issue the final order before the end of November.
Paul Fremont – Jefferies & Company: And staffs and intervenor filings are do, when?
Mark F. McGettrick: August
Paul Fremont – Jefferies & Company: Okay.
Mark F. McGettrick: But there is a, Paul it’s in everyone else. Listen, there was a posted order that we’ll make sure we get on our website for you.
Paul Fremont – Jefferies & Company: Great.
Mark F. McGettrick: It’s on the State Corporation Commission’s website now.
Paul Fremont – Jefferies & Company: Thanks very much.
Mark F. McGettrick: Thank you.
Operator: Thank you. Our next question comes from Paul Patterson with Glenrock Associates.
Paul Patterson – Glenrock Associates: Good morning guys.
Thomas F. Farrell: Paul…
Mark F. McGettrick: Good morning.
Paul Patterson – Glenrock Associates: Just I want to touch base with you on weather versus normal. On page 24, it looks like it was a hurt and on page 21, it looks like that you guys had higher heating degrees actual versus normal. Could you reconcile that for me?
Thomas F. Farrell: Yeah, well that was actually a hurt to normal for us. So about a $0.0015 for the quarter, heating degree days were up, but based on wind that was occurred during the day I think it was the full benefit of that here is most of it, but again weather normalized for us, it hurt us a $0.0015 but quite honestly Paul we’re pretty happy with compared to the quarters over the last two years what we really have been hurt by weather.
Paul Patterson – Glenrock Associates: Okay. And the reason why the heating degrees don’t have this bigger impact even though they are greater than normal because I missed it what was that?
Mark F. McGettrick: Paul, you want to take that?
Paul D. Koonce: The heating degree day had really occurred in March and the March heating degree days are not as significant as the heating degree days that we lost in January, that’s the reason.
Paul Patterson – Glenrock Associates: Okay, I got you. And then on the mark-to-market gains from last year, are there other gains that happened, I noticed that you guys are seeing some decrease in the second quarter as well on the retail business, just any other mark-to-market benefits that we should be thinking about? That well…
Mark F. McGettrick: I think, if I recall that the second quarter of 2012, there was a $0.035 mark-to-market gain in retail which we don’t expect that in the second quarter of this year.
Paul Patterson – Glenrock Associates: Okay. And then just finally on the Blue Racer drop in that happened sooner than you guys had previously expected? What led it to come in sooner? What was the reason for that?
Mark F. McGettrick: Well, we were ready to drop in and they want to drop it earlier. The Blue Racer team is very excited to get these assets in place as quick as they can. We had a little bit of work to do on this pipe and we dropped it a month earlier based on their request and as being ready.
Paul Patterson – Glenrock Associates: Okay, thanks a lot.
Mark F. McGettrick: Thank you.
Operator: Thank you. Our next question will come from Michael Lapides with Goldman Sachs
Michael Lapides – Goldman Sachs & Co.: Dominion Virginia Power and then one on the remaining merchant generation facility, on Virginia Power what kind of, what do you see as kind of the biggest issues for the general rate case process? And then on the, what’s remaining of your merchant generation fleet mean Millstone a fair less works. You’ve made a consorted effort over the last few years to shrink relative to the broader Dominion, the size and exposure to merchant generation almost to the point where it doesn’t move the needle in either direction. How do you think about these assets versus being kind of part of your core long-term strategic goals are intent?
Thomas F. Farrell: Well, as far as the biennial review goes because of I mean this is now the second of the biennial reviews, a lot of them, we’ve been through the process, everybody has been through the process, everybody now knows pretty much what the rules of the road are. The legislature has some language that sort of clarifies that period expenses are period expenses and our shareholders have to bear the cost of those of period expenses in the period in which they are incurred storms, natural disasters, write-off, significant plant in this particular case. Our Chesapeake in Yorktown facilities because of the mercury rules that EPA finalized during the period. Let’s say it maybe clear that’s our shareholders responsibility and can’t be spread out and we have customers to pay for them. And also has the impact of ensuring that they are accounted for as period expenses and the period in which they have incurred. So the accounting issues, everybody has imagination expect we’ll see some interesting arguments, I don’t know, but I think the commission presents pretty clear on all these things. So I think the main issues will not revolve around over earnings, they will revolve around what going forward return on equity is that is taking into account for the providers going forward and what will be the basis for the 2013 and 2014 by any review. They also stated also made it clear that the commission should only utilize a performance standards that they had used in the past, in their present which is in the last time did any of that was in the late 1990s, in which their focus is on generation plant performance, because you can seize direct benefit to customers from better nuclear performance, better coal performance, because it reduces the cost of the fuel for the customers. We set records on our power plant performance during this period. So that’s it on the biannual review. As for as our merchant plants go, we have Millstone Power Station, Manchester Street Station, and Fairless Works in Pennsylvania. Our shrink, as I think I said at our March Analyst Meeting, you should expect to see the end of the shrinking through the closing or selling of assets by the Dominion Resources. The assets we have, it can fit well within our strategic plan we want to maintain a stable, strong, relatively small merchant power fleet in a localized region, still nearly 4,000 megawatts, the lowest cost unit in all of New England, in Millstone Power Station. And so, we are very content with those assets and what we’re going to concentrate on is building out the Midstream business, building out Virginia Power and the regulated generation businesses, continuing to build our retail business and build the Cove Point liquefaction facility.
Michael Lapides – Goldman Sachs & Co: Okay I guess, follow-up on the Virginia Power item; I also was under the impression you filed your full loan general rate case outside of the biannual review and while we are we doesn’t get debated in the rate case process, kind of all the general line items meaning [OEM], et cetera will kind of be up for debate in the GRC process. Just trying to make sure I have my hands around what do you think some of the bigger issues in the GRC not really the biannual review process will be?
Thomas F. Farrell: Okay, I think the issues will be the same. We, our filling demonstrates that we are entitled to base rate increase of about I think it’s a $128 million. We did not ask the commission to grant us a base rate increase. We intend to move forward and try to shift to be allowed earnings based upon customer growth in our own actions here. So we have not ask for a rate increase unless we’re found in the biannual review to have over earned there cannot be a review for rate decrease until 2017. So, that’s why do actually think that interest will be in the biannual review in the earnings test, which I think would be highly unlikely we will have be found to fall above the top the earnings range.
Michael Lapides – Goldman Sachs & Co: Got it, thank you Tom much appreciated.
Thomas F. Farrell: Thank you.
Operator: Thank you our next question will come from Stephen Byrd with Morgan Stanley.
Stephen Byrd – Morgan Stanley: Good morning. 
Thomas F. Farrell: Good morning Stephen.
Stephen Byrd – Morgan Stanley: Most of my questions have been answered. I just wanted to follow-up on [when] Dan had asked about the cost cutting the $100 million in expense reductions. Mark, you’ve mentioned there is a mix of types of reductions but as we are thinking about sort of the structural cost reductions, could you just talk just broadly about what kind of broader long-term cost reductions you would envision just in broad strokes in terms of categories. As I think about sort of the delays of hiring, does that sounds more like a delayed in a permanent change, But just love to understand the cost cutting better?
Mark F. McGettrick: Yeah, I’d like give you a broader answer on it Stephen, but again we are still in the process of finalizing some of that. I think what you should expect for 2013 is a temporary reduction in expenses and have us evaluate here over the second quarter, and how many of those can become permanent over time. That’s why I emphasize the staffing, we can certainly address the new hires very quickly from previous employment levels that we anticipated as a quick savings mechanisms for us, but I’ll try to get into more color on that in the next call, the third quarter call, you’ll start to see some of those expenses materialize. But I don’t want to get in front of the process. We’re still discussing internally with the businesses and what’s appropriate, but we are very focused that on the levels that I discussed to ensure that we can meet our growth rates should sales fall short on us and to make up for the first quarter short-fall.
Stephen Byrd – Morgan Stanley: Understood. Thank you very much.
Mark F. McGettrick: Thanks you.
Operator: Thank you. Our next question will come from Julien Smith with UBS.
Julien Dumoulin-Smith – UBS: Hi, good morning. Can you hear me?
Thomas F. Farrell: Yeah, good morning. 
Mark F. McGettrick: Yes, we can…
Julien Dumoulin-Smith – UBS: Very good morning, excellent, first question, you’ve eluded to sequestration I’d be curious if you just kind of dig into that a little bit more what precisely was the contribution of sequester to 1Q results and secondly what are your expectations through the balance of the year in that regard?
Mark F. McGettrick: Julien, this is Mark. One is – right now, I’m not comfortable seeing any of it is associated with the sequester. As I mentioned, the first two months of the year were fairly close to expectation for us, and March, for whatever reason, which we’re still evaluating, came in short. So I think we have to go through the year to figure just what are the drivers of any change, if there is any change. And so we’re taking a cautious approach here. But at this point in time, we have no basis to say that any of the shortfall is associated with the sequester activity.
Julien Dumoulin-Smith – UBS: Okay, great. Second question here on New England. I’d be curious, why you’re not take off your hedges here, given pricing? I’d be just curious, I’ve recognized first quarter your hedged up largely. You didn’t realize it but broader thought process there?
Mark F. McGettrick: We established our hedging program years ago and if you look back over the last five years, I think, you’ll see that over that period of time, our hedging strategy has delivered more value to our shareholders than if we had not have a hedging program, actually every year of those years I believe. So what we’ll evaluate going forward but we don’t hedge, we don’t say the market, our idea what the hedging program is to, we’ll give earnings guidance, we want those assets to produce their share of the earnings guidance. So that’s why we hedged in these windows and roll in over time. We’re going to continue to do that. So that could turn you know we evaluate everything. We think that’s not the way to go about in the future, then we will certainly look at that, but for now, we’re content with the way we’re doing.
Paul D. Koonce: Julien, if you look at what we did in the first quarter, we actually did a significant amount of hedging, we talked about it on March 4, we haven’t done it since March 4th, but if you look at the hit price and what we were able to lock in the first quarter and the movement from the end of the year, it’s pretty significant and it was a good lift price wise push.
Julien Dumoulin-Smith – UBS: Yes, very good point on that one. And then lastly just curious here, Open Season you kind of alluded to if this New York opportunity kind of linked back to New England reliability is that just kind of getting a sense to the size and scale of are there any potential investments there? Kind of thinking more broadly here, this part of a broader aspect here?
Gary L. Sypolt: I would say. This is Gary Sypolt, Julien, and I would say the Open Season really more traditional on LDC market is where we think that that’s headed and not necessarily fire plants all, but the traditional LDC market, that’s really looking for access to shale type gas on the Appalachian region.
Julien Dumoulin-Smith – UBS: All right, excellent. Well thank you very much guys. Thanks for the time.
Thomas F. Farrell II: Thank you.
Operator: Thank you. This does conclude this morning's teleconference. You may disconnect your lines and enjoy your day.